Operator: Good day, and welcome to the Preferred Apartment Communities' Third Quarter 2018 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would like to now turn the conference over to Mr. Jeff Sprain, Executive Vice President and General Counsel. Please go ahead.
Jeffrey Sprain: Thank you for joining us this morning, and welcome to the Preferred Apartment Communities' third quarter 2018 earnings call. We hope that each of you had a chance to review our third quarter earnings report which we released yesterday after the market closed. In a moment, I'll be turning the call over to Dan DuPree, our Chairman and Chief Executive Officer, for his thoughts. Also with us today are Lenny Silverstein, our Vice Chairman, President and Chief Operating Officer; John Isakson, our Executive Vice President and Chief Financial Officer; Mike Cronin, our Executive Vice President and Chief Accounting Officer; and the leaders of our various business subsidiaries. Following the conclusion of our prepared remarks, we'll be pleased to answer any questions you might have. Before we begin, I'd like everyone to note that forward-looking statements may be made during our call. These statements are not guarantees of future performance and involve various risks and uncertainties, and actual results may differ materially. There's a discussion about these risks and uncertainties in yesterday's press release. Our press release can be found on our website at pacapts.com. The press release also includes our supplemental financial data report for the third quarter with definitions and reconciliations of non-GAAP financial measures and other terms that may be used in today's discussion. We encourage you to refer to this information during our review - during your review of our operating results and financial performance. Unless otherwise indicated, all per share results that we discuss this morning are based on our basic weighted average shares of common stock and Class A partnership units outstanding for the period. I'd now like to turn the call over to Dan DuPree. Dan?
Daniel DuPree: Thanks, Jeff. The third quarter had a number of highlights leading to what we believe is a solid quarter of performance. During the quarter we sold one multifamily community Stone Rise in Philadelphia for a gap gain on sale of $18.6 million. Subsequent to quarter end, we also closed the sale of another multifamily community Stoneridge Farm in Nashville for a gap gain on sale of an additional $16.9 million. On a non-GAAP basis just sales price over purchase price of these two assets, we generated $25 million in net gain, pure profit. The sale of these two properties is consistent with our strategy of recycling capital out of our older assets into newer properties. The gap gains on sale we achieved in both properties together in excess of $35.5 million reflect our ability and our willingness to capture value at the top of the market. Combined our IRR on these two assets was in excess of 22%. These sales clearly impacted our balance sheet positively, but had no impact on our FFO. What did affect FFO was a $3 million or about $0.07 per share loan loss allowance on accrued interest that we had booked under GAAP and which will be unable to be paid when the Irvine California project sells to a third party which we expect to close in the next week or so. To be clear, over the term of this loan investment, not only was the principal of this loan or will the principal of this loan be repaid in full, but we will also receive over $20.1 million in interest yielding a 12.9% IRR on the investment, not a bad investment by any measure. Construction and inspection delays extended delivery by almost 18 months, which increased the cost of the project by over $10 million from its original underwriting. With this FFO adjustment in mind and in anticipation of a strong fourth quarter, we are changing our previous year end FFO guidance from 143 to 147 with a midpoint of 145 to a $1.39 to $1.42 per share with a midpoint of a $1.40.5. Midpoint to midpoint our guidance adjustment is $0.045 per share. We are narrowing our guidance on total revenues for the year to $400 million to $415 million. During the third quarter this year, we continued our recent good work on multifamily same-store numbers. Year-to-date, our total revenues were up 4% and our operating expenses are up a minuscule 0.8% due in large part to our tax appeal successes. Our year-to-date same-store NOI is up 6.5%. This is and will be and will continue to be an area of focus for us. In our real estate loan investment program we generally receive an option to acquire the underlying asset on which we make a loan at a discount to the market value of the property at stabilization. It is possible however that for a variety of reasons, including market cap rate compression we may elect to not buy a property. If that occurs, we can still capture the value of the purchase option by terminating our purchase option with the developer in exchange for a cash payment equal to the approximate value of the discount. In the third quarter, we recognized $4.3 million from our five previous purchase option terminations. The balance of the proceeds from these purchase option terminations are being amortized and booked over the remaining term of each loan. As we've noted before, the purchase option discounts we typically receive in connection with the origination of real estate loan investments are a meaningful and ongoing part of our business. And it is important that we are able to capture the value of these discounts whether or not they are exercised. Cap rates particularly on newer Class A multifamily communities have continued to compress even as interest rates have increased making the purchase of multifamily communities more difficult. Three years ago for example, a typical deal we would acquire a multifamily asset per cap rates between 5.7% and 6%, we then put debt on them at rates below 3.5%. The same scenario today however the asset would sell for somewhere between 4.7% cap rate and 5.0% cap rate and 55% to 60% debt would cost around 4.5%, clearly a decidedly different investment thesis. Our purchase option discounts nevertheless allow us to acquire some of these communities as we did in the third quarter with our Hidden River acquisition in Tampa that Jeff Sherman will talk about in a moment. Please remember that we are unique in the way we access capital and this impacts the way we do business. In addition to the sale of our publicly traded common stock, we also raised capital to invest through the sale of our Series A and Series M preferred stock into the independent broker dealer and registered investment adviser channels. We have been extraordinarily successful with this effort raising between $35 million and $40 million each month. Having access to this source of capital allows us to make future commitments without concerns about capital availability from the more traditional public markets. We have an advantage investing this capital because we have the expertise in-house to diversify our investments into grocery anchored retail, Class A office and student housing projects where presently the investment metrics are more attractive. It is hard to imagine how we would be successful. It is hard to imagine how we would be as successful for our shareholders, as we have been if we could only invest in a single asset type where it is more difficult to buy that asset type creatively. While our multifamily and student housing investments continue to make up the majority of our portfolio, it is an advantage for us to have the capabilities, the capabilities we have to invest and execute in these other two areas. Our business model is predicated on having the flexibility to invest in assets that contribute the most to stockholder total return. In a few moments, you'll hear about several third quarter investments across product lines that are outstanding examples of the value of this flexibility. With this, let me now turn the call over to Lenny to review our third quarter results. Lenny?
Leonard Silverstein: Thanks, Dan. Overall with the exception of the P&L impact at the Irvine, California transaction that Dan just mentioned, we once again produced a very good operating results for the third quarter. Revenues for the third quarter were $104.2 million or over 39% greater than the revenues are in for the third quarter last year. Our FFO for the third quarter 2018 was approximately $11.5 million or $0.28 per share compared to approximately $12.3 million or $0.36 per share for the third quarter of 2017. Our financial results have continued to allow us to pay a healthy, increasing dividend to our common stockholders. As you may have read from our press release issued last Thursday, our Board of Directors increased our fourth quarter common stock dividend to $0.26 per share payable to common stockholders of record at the close of business on December 14. With this fourth quarter dividend increase, our total 2018 dividends will represent an 8.5% increase compared to the total dividends paid for 2017. In fact, since our first common stock dividend payment following our IPO in April 2011, we have now increased our dividend 14 times and produced an annualized dividend growth rate of 14.5%. During the third quarter this year, we also issued and aggregate of approximately 358,000 shares of our common stock for approximately $4.6 million in connection with the exercise of warrants previously issued under our Series A preferred stock and unit offerings. Switching to other financial statement metrics, we continue to add quality assets to our portfolio in a meaningful way. For the third quarter 2018 our total asset, net of depreciation were approximately $4.1 billion or an increase of approximately $1.2 billion or 41.7% compared to the third quarter last year. This growth was driven primarily by the acquisition of 22 properties, net of the sale of two properties since the third quarter of last year. In addition to increasing total assets, our cash flow from operations for the nine months ended September 30 of this year was approximately $112 million, which represents a huge 59% increase in cash flow compared to the nine months ended September 30 of last year. Although as Dan noted, interest rates remain higher than this time last year, there have been no surprises. We have taken a cautious approach through our acquisition financing strategy with approximately 90.4% of our permanent property level mortgage debt having fixed interest rates for variable interest rates that are capped. In addition as of the end of the third quarter, our leverage on our asset based on the underappreciated book value was 54.4%, which was basically the same as compared to the third quarter last year. Yet however, we measured leverage against the market value of our assets at today's cap rates instead of underappreciated book, our leverage ratio would be substantially lower. We will continue to closely monitor the relationship between interest rates and cap rates in determining what we believe is the proper financing leverage in connection with their ongoing after the acquisition strategy. Jeff Sherman, who's responsible for all of our multifamily efforts, including management, acquisitions and the real estate loan investments will now review this division's performance for the third quarter. Jeff?
Jeff Sherman: Thanks, Lenny. Let me start by reminding everyone of our overall multifamily strategy. Specifically we remain focused on growing the portfolio of recently built, dated, heavily amenitized and attractively appointed apartment homes in markets with strong job growth in more than 1 million people. We target markets primarily located in the mid-Atlantic, Southeast and Texas. We continue to see strong offering results for the multifamily portfolio. For the third quarter our same-store set achieved year-over-year as rental revenue and total revenue growth of 3.7% and 3.8% respectively. These impressive results are further supported by same-store year-to-date total revenue growth of 4%. To reiterate a point made earlier, same-store net operating income for the third quarter increased 2.7% year-over-year, while it has increased 6.5% for the nine months ended September 30, 2018 compared to the same period in 2017. In addition, our stabilized portfolio achieved an average occupancy of 95.6%. Regarding our investment activity for the third quarter, we purchased one community in Tampa, sold one community in suburban Philadelphia and originated a real estate loan investment for new multifamily development in Fredericksburg, Virginia. The acquisition named The Lodge at Hidden River for the 300 unit Class A multifamily community. It is situated in a supply constraints submarket of northeast Tampa and stands apart from its competition with outstanding preservation of green space and superior product quality. The Lodge will certainly be a great addition to our portfolio and it epitomizes our investment thesis to acquire properties that either have an irreplaceable location, superior for our quality or other form of value proposition. As we noted earlier in safe environment, finding assets both aligns our investment criteria and are accretive over our projected whole period has become challenging in the face of compressing cap rates and rising interest rate. Nevertheless there continues to be a significant amount of flows across the country and we continue to underwrite and pursue those opportunities that meet our criteria. The reason sales [ph] summarized and the acquisition of The Lodge at Hidden River in the third quarter lowered the average age of our multifamily portfolio at 5.3 years, which is the youngest in the public REIT industry. If however, the offer factor in the sale of our Stoneridge this quarter, our average age drops even further to approximately 5 years. Portfolio age is important because newer properties requires less capital expenditures and lower maintenance cost and provides features that today's residents expect. Going forward, we'll continue to evaluate our portfolio on a quarterly basis and when appropriate purchase to divest asset in an effort to maximize returns to our stockholders. Turning to our real estate loan investment program. We closed on an aggregate loan investment of up to $12.3 million for the construction of a 240 unit Class A multifamily community located in the Washington D.C. and D.C. MSA of Fredericksburg Virginia. This community is part of Southpoint Atlantic which is a 63 acre mixed used project turned for office, retail and multifamily. With the addition of this loan, half loan investment portfolio now consists of 21 projects totaling approximately 4600 multifamily units and approximately 2800 student housing bed and one retail center totaling approximately 195,000 square feet. From a total dollar standpoint, as of December 30th, our investment loan program at 392.2 million outstanding loans and 515.5 in aggregate loan commitment. The real estate loan investment program has always been an integral part of our business model from the very beginning. It continues to provide us the pipeline of new Class A multifamily communities that we underwrite from the outset that are built in accordance of the designs specs that we provide to the developer, that typically carry embedded value which can be reorganized in a variety of ways. Let me now call on Paul Cullen, the Head of Preferred Campus Communities, our student housing division. Paul?
Paul Cullen: Thanks, Jeff. Our student housing strategy is to create a portfolio from best in class properties at Tier 1 universities that are located within walking distance to the center of the respective campus. The third quarter was a busy time for successful moving seasons across the student housing portfolio. Over 23 day period beginning late July through the mid August, we helped to move all of our residents to - in terms of all of our units and then in a total of 5208. Obviously this is a huge undertaking for any operating platform, but what our team handled tremendously well. Our student housing division also continues to see strong operating results with a stabilized properties performing in line with expectations year-to-date. Preferred Campus Communities, our student housing operating subsidiary now owns seven properties in four states across seven different universities. Strong leasing activity for the current school year resulted in our stabilized student portfolio having an average physical occupancy of 96% as of September 30th. Our student housing management team is already refocusing its efforts on producing for 2019, 2020 school year. We're holding various resident events in an effort to build a resident review base for the next school year. Even though this school year have started, it is important to be proactive the next school year. Rental rates have been set for 2019, 2020 school year and we expect the team to deliver another strong lease up. As mentioned in our last earnings call, the up campus student housing sector is one that which we continue to see opportunity, I believe the fundamentals will provide for consistent rent growth, and steady occupancy metrics of the foreseeable future. Let me now call on Joel Murphy, the Head of our new market Grocery, Anchorage, Retail Division. Joe?
Joel Murphy: Thanks, Paul. We are also pleased to report another strong quarter of overall operating performance. We are continuing to execute our strategy to inquire - acquire invest in and operate grocery-anchored centers that fit our investment criteria in suburban sub markets for mid-Atlantic to southeast, now through Texas. We target centers that have market dominant grocery store anchors that maintain a number one or number two market share in that sub market and that have high and growing sales volume stores in a particular center. As a result of this focused product type strategy, we had zero exposure to the 2018 bankruptcy filings of Sear's, which includes Kmart, Mattress Firm and Toys “R” Us. Leasing space renewing tenants and keeping our tenants happy with their daily focus, our portfolio which at the end of the third quarter totaled 44 grocery-anchored centers was 94.6% leased and increased 20 basis points since the end of the second quarter and an increase of 40 basis points year-to-date. We have three centers in our portfolio that are at different stages of value add phases or redevelopment. Champions Village in Houston, Independence Square in Dallas and Fairview Market in Greenville, South Carolina. In Fairview market we recently completed an important part of our redevelopment plan with the grand opening of ALDI and our new 22,000 square foot store. We completed this portion of the redevelopment faster than originally underwritten and well below budget on cost. At the end of the third quarter, the core portfolio excluding these three properties was 96.7%, an increase of 10 basis points in the second quarter. We are also particularly pleased with the momentum of our lease renewal this past quarter of anchors and inline tenants. We continue to proactively manage our anchor lease expiration, all of our 2018 anchor renewals are now complete. We also executed approximately 50,000 square feet of inline tenant renewals for the quarter and we have approximately 35,000 square feet to remain - to execute on the balance of the year. Year-to-date we have executed a total of 151,000 square feet of inline tenant renewals, so we expect the favorable momentum to continue. During the quarter, we acquired Brawley Commons, a 122,000 square foot of public-anchored shopping centers in the Charlotte, North Carolina MSA. Brawley Commons is our second asset in Charlotte MSA and adds to the geographical diversity of our portfolio in a market that we like very much. This is another excellent example of our focused strategy, anchored by our market leading grocer and as high sales per square foot store and located in the solid Sunbelt sub market with excellent demographic. We are executed on all cylinders in the third quarter. We leased vacant space. We kept our centers leased. We renewed at higher rates. We managed our expenses and had very little bad debt expense and we grew the portfolio. The combination of these positive trends will allow the new markets subsidiary to upstream outstanding results. As of today, we now own 44 grocery-anchored centers in southern Sunbelt states in 18 markets totaling approximately 4.6 million square feet with nearly 700 independent operating lease, 23 of these centers are anchored by public and 11 are anchored by Kroger, Harris Teeter banners, both Publix and Kroger are being market share leaders and each generated approximately $2 billion in earnings in 2017. We remain active in the acquisitions marketplace and while we were very focused on new opportunities, we also remain very diligent to stay inside our type geographic and product type strategy, while also being very disciplined about our due diligence and our pricing. Now let me turn the call over to Boone DuPree, the Head of our Office Division.
Boone DuPree: Thanks, Joe. In the third quarter we completed our acquisition of 150 Fayetteville which is a 560,000 square foot Class A office building in Raleigh, North Carolina Central Business District. This is the deal we are particularly excited about. It get us into a strategic market we targeted and offers not only attributes of stability for PAC but also room to grow the upside. There is some overdue repositioning and fundamentals tailwinds in a submarket with single digit vacancies and strong demand growth. Subsequent to closing, we teamed up with top local developer King Realty to lease, manage an oversee repositioning efforts at the property. We are now well underway in design and pre-construction for renovation that will include the building's lobby, plaza and street level curb appeal and eventually incorporate some new amenity retail into the first floor. We're confident this investment will pay off by driving property level [indiscernible] Including this recent acquisition, at quarter end the company's office portfolio stood at approximately 2.1 million square feet across 6 Class A assets. We were 93% leased with more than 7.5 years of weighted average remaining lease term. Our top five tenants IHG, State Farm, USAA, Harley & Clarke and Smith Anderson, represented 51% of our portfolio's annual base rents and together having more than nine years of weighted average lease term remaining. Looking ahead, we'll continue to focus on assemblying our portfolio rental that features multi-year duration on leases, high quality credit and industry diversification. At the real estate level, our investment thesis centers on developing markets strategies that extend beyond one-off transactions, with a focus, intentionally, on Atlanta, Charlotte, Raleigh, Dallas, Nashville and Austin. Each of PAC's verticals has its own nuance. The office business, perhaps more than any other, is critically dependent upon local relationships, for leasing success and sourcing opportunities and we know this to be successful competing with larger, more established platforms, we have to formulate effective market entry and operations plan. Each investment is considered within a strategy, and we expect that to become self-evident over time. With that let me now turn the call back to Dan.
Daniel DuPree: Thanks, Boone. Despite the ups and downs of the market place our team has continued to do an excellent job building a carefully constructed portfolio, executing on our strategies and visions and delivering consistently strong financial results. We have a variety of solid investment strategies which continue to allow us to be innovative, nimble and effective. Our investments in student housing, grocery anchored shopping centers and office buildings have proven to complement our core focus on multifamily very well. We continue to believe that all of these investments together with the cash flow generated by our real estate loan investment program and the potential embedded value we've created through our discount and purchase options, place back in a sustainable position to continue to deliver consistent, outsized results for our shareholders. With that I'd like to thank you for joining us on our earnings call this morning. And I'd like to turn the call back to our operator to open the floor for any questions that you may have. Thank you.
Operator: Thank you. [Operator Instructions]
Operator: Okay. This concludes our question-and-answer session. I would like to turn the answer session - I would like to turn the conference back over to Dan DuPree, Chairman and Chief Executive Officer for any closing remarks.
Daniel DuPree: Again, thank you all for participating this morning. I really want to reiterate one key point and clearly with the with the $3 million loss that we're taking in our Fusion project don't let that distort the balance of what we reported here this morning. We had a - we had a - we believe to be a very solid quarter. Our metrics are up across the board. We recognized on a GAAP basis $35 million in gain. It's kind of frustrating sometimes to realize that we can show an absolute project - absolute profit through the sale of assets that reflected on our balance sheet. But the headline isn't the 35 million gain, it's the $3 million dollar hit. This is the first hit we have taken on one of our real estate investment loans across the last seven years and probably won't be the last. It's you know, one of the things that comes along with it. But I would remind you not to throw the baby out with the wash. Numbers were really quite good. If you have any other questions do you like to discuss what we've gone over this morning, please give any of us a call, myself John Isakson who kept remarkably quiet on this call. Lenny, Joel, Paul, Ben, Jeff we're - be happy to answer any questions you all might have. Thank you again for participating.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.